Operator: Good morning and welcome to the Despegar’s Second Quarter 2020 Earnings Call. A slide presentation is accompanying today's webcast and is available in the Investor section of the company's website www.investor.despegar.com. There will be an opportunity for you to ask questions at the end of today's presentation. This conference call is being recorded. As a reminder, all participants will be in a listen-only mode. Now I would like to turn the call over to Miss. Natalia Nirenberg, Investor Relations. Please go ahead.
Natalia Nirenberg: Good morning everyone and thanks for joining us today for a discussion of our second quarter 2020 results. In addition to reporting financial results in accordance with U.S. Generally Accepted Accounting Principles, we discuss certain non-GAAP financial measures and operating metrics, including foreign exchange neutral calculations. Investors should read the definitions of these measures and metrics included in our press release carefully to ensure that they understand them. Non-GAAP financial measures and operating metrics should not be considered in isolation as substitute for or superior to GAAP financial measures and are provided as supplemental information only. Before we begin our formal remarks, allow me to remind you that certain statements made during the course of the discussion may constitute forward-looking statements which are based on management's current expectations and beliefs and are subject to a number of risks and uncertainties that could cause actual results to materially differ, including factors that maybe beyond the company's control. These include expectations and assumptions related to the impact of the COVID-19 pandemic. For a description of these risks, please refer to our filings with the Securities and Exchange Commission and our press release. Speaking on today's call is our CEO, Damian Scokin, who will provide an overview of the second quarter and update you on our strategic priorities. Alberto Lopez Gaffney, our CFO, will afterwards discuss the quarter's financials. After that, we will open the call to your questions. Damian, please go ahead.
Damian Scokin: Thank you, Natalia. Good morning everyone and thank you for joining us. I hope that you and your families are healthy and safe. This past quarter was clearly a challenge on many fronts, not just for us as a business, but for all of us as a global community. There is no doubt that the COVID-19 pandemic has profoundly impacted our business over the last few months. During this time of extraordinary changes and challenges, our teams responded with agility and executed well against factors within our control. Importantly, we remain focused on the four key areas we share with you during the last earnings call, which are, first, further reduce the cost structure and reinforce our cash preservation strategy. Second, enhance our cash position through the backing of two premier global investors. Third, we made significant progress on our M&A strategy and lastly, we are adjusting our value proposition to the new market circumstances. I'd like now to spend a couple of minutes discussing each of these topics, starting with cost structure reduction. When the crisis began, we immediately started to cut costs aimed at preserving cash. We made a number of very difficult but proactive adjustments to our cost structure, which include some permanent changes. By quarter end, we have exceeded our previously discussed 34 million run rate for structural costs, and are now on target to meet our 28 million goal for the third quarter of 2020. Additionally, we acted promptly during the quarter, implementing a range of actions to help maintain our strong liquidity and ended the quarter with a cash position similar to that at the end of Q1. We made significant progress, collecting outstanding accounts receivables. In addition, regulations in some geographies such as Colombia and Brazil, allowed us to provide customers with pending travel with vouchers redeemable for future use. This process also entails that negotiation of our non-touristic payables which enable us to generate cash this quarter despite the circumstances. I am proud of the quick and decisive actions we have taken as a company to mitigate many of the challenges we face. As we share, we expect the actions we have taken to better align our cost base, where with our anticipated near term sales performance, as we navigate what may be a choppy recovery in the travel industry worldwide. Second, not only did we want to preserve cash, we also wanted to enhance our liquidity position as a precautionary measure. In the quarter, we secured a 40 million committed revolving credit facility with a one year term. As of today, we have not drawn on this facility. Subsequent to quarter end, we raised $200 million in capital through a private placement with two unrelated private equity funds, L Catterton, and Waha Capital. Our new partners share our vision of the future of the online travel industry in Latin America, and support our role as the leader of the market. This new financing also provides us additional flexibility to navigate through the pandemic. Third, we continue capturing M&A opportunities without affecting our liquidity. As previously disclosed, we successfully renegotiated the terms of the pending Best Day acquisition with a reduction of 58% of the purchase price. Importantly, we deferred any cash outlay for 36 months after closing. This acquisition will allow us to further strengthen our presence in Mexico, develop new verticals and achieve synergies that will be further boosted by our low cost technological platform. Additionally, subsequent to quarter end, we acquired Koin, a leading Brazilian online point-of-sale payment platform. This acquisition will further enhance our payment methods offer. Last, we are also working hard to strengthen our value proposition with a more flexible product offering. We have accelerated our efforts to add further automation to the customer fulfilling process. These actions will not only enhance customer satisfaction, but also reduce our cost through the reduction of calls to our call center. As we lead our organization through the crisis and the near term economic disruptions, our past experience navigating difficult periods is serving us well. In turn, we are taking a prudent approach to the near future. And while we have positioned ourselves well to weather the pandemic, we will almost certainly continue facing the headwinds from this health crisis. Moving next, for a discussion of the second quarter transaction and gross bookings. As we shared during the first quarter of 2020 earnings call, the second quarter was expected to be the most challenging quarter in the company's history. In the quarter, transactions and gross bookings plummeted 92% and 96% respectively. This was due not only to a dramatic drop in demand, but also from the restrictions imposed by the different governments in the region, as most countries basically shut down their economy. Compared to other countries and regions, restrictions in some Latam countries, such as Argentina and Colombia have been rather long and severe. Additionally, although Latin America was the last major geographic region to be impacted by COVID, travel bans were implemented at the same time as in Europe, thus the limitations to travel have been in place for a longer period of time, and the recovery has not yet begun. I will now give a little bit more detail on how the quarter played out. This is in the info you see in the chart on the bottom right of the page. April was the slowest month of the quarter with transactions and gross bookings drastically below the same period of the prior year. We saw an improving trend as we moved through the quarter with gross bookings in June, doubling the main level and continuing to improve in July and August. Although we're encouraged by these improving monthly trend we want to remind you that there is still a high degree of uncertainty in the market that causes us to take a conservative approach as we look into the near future. Moving next to slide five for discussion of cost savings and targets. Prior to COVID-19, we were already working in our cost savings program. Due to the completion of several initiatives that we learned in 2018 and 2019, we have taken a series of actions over the past three quarters to reduce costs and become an even leaner company. That includes achieving efficiency gains in support areas in Argentina with structuring our fulfillment center and reducing our corporate and support headcount significantly. Thanks to these efforts, we could achieve sequential reductions of 25% in payroll expenses, and 19% in non-payroll costs during the second quarter. As a result, our structural costs declined 23% when compared to the first quarter of 2020, while operational costs overall; excluding one-time charges were down 62% year-over-year. Additionally, we surpassed our second quarter of 2020 target of 34 million and are now on track to meet our third quarter goals. Despite these cost reductions, we still have the ability to quickly ramp up as the travel market start to recover. Turning next to slide six for the discussion on our cash preservation strategy. In these unprecedented times, cash preservation, along with strengthening financial options is key. Importantly, not only will we preserve our cash balances through this quarter, ending flat with quarter one, but we also generated $20 million in cash, a total of $66.3 million or 53% of trade accounts receivables net of provision for bad debt and related party receivables as of March 31st 2020, were collected during the quarter. This performance is indicative of our ability to navigate this crisis and the strength of our receivables. Moving next to a brief discussion about our financial obligations, we closed the quarter with only $10 million in short term debt and no long term debt. On the financing front, in the quarter, we secured a $40 million revolving credit facility mainly to have the financial flexibility if needed. Today, we have not drawn on this facility. Yesterday, we closed a $200 million capital raise through a private placement with two funds that further support our liquidity position. This brings our total pro forma cash position as of June 30, 2020 to over $420 million and I will discuss this new financing in more detail shortly. Moving next to slide seven for the discussion of our recent $200 million capital raise. We engage with two unrelated funds. First, we'll raise the $150 million from L Catterton through the sale of Preferred Stock plus warrant. Second, we raised $50 million from Waha Capital through the sale of newly issued Series B Preferred shares convertible into ordinary shares. L Catterton is one of the largest and most global consumer focused private equity fund that has successfully been investing in Latin America and in the travel sector, while Waha Capital has a strong track record investing in companies that provide growth opportunities. Proceeds from this transaction will be allocated to mezzanine equity in our equity accounts in our balance sheet. For more details on these transactions, refer to the slide and to the 6-K filing. Moving next to slide eight. The recent capital rise will enable us to continue growing our business by strengthening our competitive lever, which is a key strategic initiative for us, as discussed during our investor day in December. The timing of the capital rise is also important and opportunistic as it provides the financial flexibility to allow us to enhance our leading position in LatAm during this unique period, in time, as many local competitors are struggling. Let me discuss a few key strategic reasons. First, we want to advance our digital products and services through the integration of the multiple brands LatAm [ph] and we’ll be part of the Despegar consistency. Now this powerful network also includes Koin, our recent acquisition, which we will explain in detail shortly. At the same time, we will be supporting further engagements through our app, which is already one of the most downloaded travel apps in the region. Second, investing in our low cost delivery model and platform translates into a better value proposition that promotes flexibility in our offering, which is key for our customers, but equally, particularly in these uncertain times. Additionally, by enhancing automation to our processes and making the integration of acquired companies more agile, we can further save costs. Although we are already one of the largest OTAs in the region, there is still ample room for us to grow further, as we expect to strengthen our leadership in the industry. In a global travel industry impacted by COVID-19 growing the opportunistic acquisitions is an attractive near term option for us. Our two new partners also share that vision. COVID-19 has provided us with an unique opportunity to acquire assets, at valuation significantly lower than those we were seeing over the past few years. Koin and Best Day are clear examples of this. This new capital rise provides us with additional liquidity to continue executing on our M&A. As a reminder, we have a very focused M&A strategy. Geographically, Mexico and Brazil are our key target markets, even sizes on volatility [ph]. And our target companies must also exhibit a core set of competencies, such as strong brand awareness, focus on the leisure traveller, as well as unique online and all product capabilities that will be quick for us to adapt and leverage across our platform. Now, please turn to slide nine. Best Day is an important acquisition for us as it increases our presence in Mexico, a key travel and destination market in LatAm. With COVID-19, working hours on the global traveller market, we went back to the sellers to renegotiate the terms. As shown in this page, we have highlighted the key terms from the region agreement, as well as the revised one. As we have already scrolled these and held a conference call to discuss the key items that I want to reiterate is that we were able to achieve a lower price and defer any cash outlay until 36 months after closing. We expect to be closing this acquisition in the second half of 2020 once we obtain regulatory authorizations. Now moving to slide 10, yesterday we go through the acquisition of Koin. The Company is Brazilian Fintech that operates as a point of sale consumer lender for travel related companies. Since early 2018, we have been offering Koin’s financing solutions on our website to our customers in Brazil. Koin offers a buy now, pay later installments, solution through Boleto Parcelado. For those of you who may not be familiar, Boleto Parcelado is an official Brazilian payment method regulated by the Central Bank of Brazil. It is a push payment system that in 2018 generated close to 4 billion transactions, and accounted for approximately 19% of all online payment transactions. Boleto is a must for companies doing online business in Brazil. On the blue boxes on the left side of this slide, you can see our core set of distinct competencies as we laid out during our investor day in late 2018. Let me discuss each one to give you an idea of why Koin’s make so much sense for us. Starting with Scale, close to $5 billion in gross booking flows through our platform last year. Therefore, where demand comes back, we can leverage the current financing solution. Our strong brand has also allowed us to be recognized as a safe platform to conduct purchases. Right now, Koin is certainly offered to Brazilian customer, but we have a deep understanding of LatAm customers travel and purchase preferences. These stats translates these into more than 24 million LatAm customers over the past five years. And last, we have a best-in-class fraud and errors platform and over 20 years of UX experience, as well as one of the best IT teams in LatAm. Koin is not an unknown entity to us. We have been providing this solution to our Brazilian customers for over one year, with over 50,000 transactions generated in that time. We don't see any risk in the integration of both systems. As of June 30, 2020 Koin’s loan book amounted to only R$13 million, reflecting the disruption of COVID on the global travel industry. Coming up, we have a broad understanding of how to finance our customers, because we have been providing that service to our consumers for over 20 years. Fintech Solutions is a natural complement to our product offering that allow us to add new capabilities and we continue offering innovative solutions to our customers in the attractive Brazilian market. Next, turning to slide 11, I have seen us move and innovate value proposition. Even in a time of uncertainty, we know innovations remain critical to our business. Adapting to the current market conditions, we have introduced a flexible booking offering that allows our consumers to reschedule trips as needed. During the quarter, we also added value to our platform by building a more robust help experience that will allow our customers to self-manage their bookings while reducing their need to contact our call center. We approach this new service by adding the main question we have been receiving for consumers. At the same time, we are able to anticipate when consumers will start redeeming the vouchers as travel restrictions get lifted. Additionally, and in the case of refundable ties, customers will be able to cancel or refund online. So this online help experience we will be able to forward queries and concern through the right channel, creating a more efficient and transpiring [ph] process. I will now turn the call over to Alberto to discuss the financial performance in more detail.
Alberto Lopez Gaffney: Thank you, Damian. And thank you all for joining us today. I want to build on Damian's remarks and comment on our team's ability to adapt, execute and make smart decisions quickly during this unprecedented time. As we expected and shared last quarter, the second quarter was extremely difficult, with a top line challenge due to COVID-19 related softness in travel demand. Revenues were also negatively impacted by 13.9 million in customer cancellations Both reflected refunds issued in the quarter, as well as provisions covering potential customer cancellations through the end of September in our main markets. Remember that in the first quarter, we had made provisions for cancellations in second quarter 2020, except for Argentina, where we took provisions for cancellations covering upto the end of August. This increasing cancellation is driven by the effect of a more customer friendly refund initiative implemented during the second quarter. By delivering on it, we have resolved approximately 64% of non-air and 90% of air ticket cancellations. Excluding these extraordinary cancellations and provisions, revenues would have decreased 96% to 4.2 million in line with the decline in transactions on gross bookings. Moving onto cost on slide 12, let me share that we have drastically taken cost out of the business in areas where we cannot currently operate due to COVID-19 including making difficult decisions to reduce staff and to simplify our organization. As a result, we reduced structural costs by 23% sequentially to $33.1 million in the second quarter, exceeding our run rate goals for the quarter by 3%. This represented a 35% decline from fourth quarter 2019 levels. This has not only allowed us to navigate through this period of limited revenues, but also to prepare the company for a slow and non-linear ramp up as government adjust travel restrictions. Now, taking a deeper look at our cost structure and the steps we have taken throughout the company. First, cost of revenue declined 66% year-on-year. We significantly reduced variable costs, such as cost of installments. Additionally, credit card purchasing fees declined mirroring the low level of transactions. There was also an important cat [ph] in fulfilment center costs following the outsourcing of the services that we use to provide in-house. Second, selling and marketing expenses were trained by 86% against the same quarter last year, as we basically curtailed all direct marketing activities. Excluding the input of two months from Viajes Falabella and 2.9 million in severance charges in the quarter, the decrease would have been even more relevant, down 97% year-on-year. Technology and Content plus G&A increased 9% year-on-year, impacted by $15.7 million in extraordinary charges. Importantly, on a comparable basis, and excluding these onetime charges, along with two months of Viajes Falabella, Tech, Content plus G&A would have declined 39% year-over-year. Of these extraordinary charges, 89% represent noncash items comprising $11.7 million in expected credit losses from four airlines in Latin America that filed for bankruptcy, and half a million related to the accelerated amortization of a proportion of Viajes Falabella known core portfolio. Importantly, we have provisioned these two bad debt charges to fulfill the prudence principle of accounting. However, we remain confident that we will be able to collect these amounts in the near future. Turning to profitability on slide 13. Comparable adjusted EBITDA for the quarter was a loss of $32 million, compared with a gain of nearly $3 million in the same quarter last year. Comparable adjusted EBITDA excludes nearly $34 million in extraordinary charges, included in second quarter 2020 in connection with COVID-19. Customer travel cancellations, severance payments from recent cost saving measures and provisions for bad debt in connection with the three Latin American airways that filed for Chapter 11 in the quarter. We also incurred how the extraordinary charges related to the suspension of operations of Avianca Brasil, as I discussed earlier, and one time M&A and other professional services expenses. Comparable figures also exclude $10 million in extraordinary charges in second quarter 2019, mainly rebranding costs and to a lesser extent, the cessation of operations of Avianca Brasil. With respect to the $7.3 million we provisioned for the three airlines bad debt, we are in ongoing discussion with them and remain confident that we will recover a significant if not all what is owned. Subsequent to quarter end, we have collected over $200,000. Next, liquidity on slide 14, Despegar is in a strong financial position and we ended the quarter with just over $228 million in cash and cash equivalents, flat with March. Despite the challenge in demand environment during the quarter, we generated positive cash flow from operations of $20 million, reflecting a decline in receivables and higher trade payables. This was up from $9.5 million in the same period last year. As we have mentioned, we are encouraged by this lively positive trends we are beginning to see. Gross bookings in June and July were better than the lows we saw earlier in the year. So far in August, gross bookings have retained this positive trend. In this context, we continue to operate in unprecedented times, with many unknown and uncontrollable factors still impacting consumer behavior and the travel industry. Despite this, we remain focused on four goals as we continue to adjust to the current operating environment. First, focus on Cash Preservation and Generation, while leveraging the newly added flexibility to our value proposition. Brazil and Mexico remain our key growth markets, when taking advantage of unpaid marketing channels. Second, maintain a strict focus on cost controls. Third, continue to protect liquidity while at the same time taking care of our customers as we continue processing the refund there are still pending. And finally, as we've done with the Best Day, and most recently with Koin, we are taking advantage of the current competitive environment to pursue selective M&A opportunities that complement our business and can benefit from our operating leverage. In conclusion, we’re extremely proud of the way our team and industry partners have risen to the occasion. And I remain confident our business and our brands will emerge even stronger on the other side. This short term disruption to our business does nothing to dampen our long term prospects. With this, we conclude our prepared remarks. Operator, you can open the line for questions.
Operator: Thank you [Operator Instructions] Today's first question comes from Edward Yruma with KeyBanc Capital Markets. Please go ahead.
Edward Yruma: Hey, good morning. Thanks for taking my questions. I guess, first, I noticed that sequentially, the payables to travel suppliers went up. Just kind of curious how that happened, given the revenue trend? Two, as the environment improves and you start to have consumers redeem vouchers, how will that get reflected on the cash flow statement? Or just maybe more simply, kind of does that then become trade payables as you start to pay your travel suppliers? And then finally, with the acquisition of Koin, does this now start to expose you to more consumer credit risk? Thank you.
Alberto Lopez Gaffney: Hi Ed, good morning. Alberto here. So first, many thanks for your question. With regards to actually trade payables going up, I think they have a -- they have gone marginally up. Okay. The company has cut some things. Okay. So from that perspective, that is pretty much explained by that. With regards to [really not the question] [ph] but certainly on the receivable front, we showed good performance when it comes to our ability to collect our receivables. In past quarters, there were actually questions along those topics. And we were able to collect over 50% with little volume of chargebacks, etcetera. So that speaks nicely about the performance. And with regard to your second question, on Koin. Okay, I think it's important to highlight that the current volumes that Koin is processing are deminimis vis-à-vis what is the run rate of the company when the market comes back, okay. What we are actually betting on to this platform is to continue increasing the offer of the different solutions and methods of payments. And I think the focus is more on method of payment rather on the risk management. And as you know, okay, all these consumer loans can be securitized. So the plan of the company is less so on actually getting on increasing exposure to our clients credit risk, but more importantly, to continue increasing the number of them -- the method of payment available on target in a market that as you know, is particularly relevant. And that makes a difference with the big unbanked population in Brazil. So hope that addresses your question.
Edward Yruma: Thank you.
Operator: And the next question today comes from Eric Sheridan with UBS. Please go ahead.
Eric Sheridan: Thanks so much for taking the question. Everyone's well on the Despegar team and staying safe. Two longer duration questions. Your peers, your global peers have talked about it taking multiple years to get back to the levels of travel we saw in 2019. But in your region of the world, obviously, there are dynamics around offline to online penetration shifts, that might speed up return to those types of volumes or levels. So first question, I wanted to know what your general worldview is on how investors should be thinking about a multi-year recovery and travel volumes in your business. And second, on the cost savings side. Obviously, you've done a very good job of repositioning the business on the cost side for the current environment. How should investors think medium to long term about the permanence of some of those cost cuts and the result may be being larger margins trajectory in the business over the medium to long term versus some of those costs having to come back into the model as and demand improves? Thanks so much.
Damian Scokin: Hi, how are you? This is Damian. Thanks a lot for your question. In terms of market return or coming back, you're right in the sense that the Latin Americas, as you probably know, historically, at least 2018 we saw opportunity, only 40% of total bookings being transacted online, so there's more room for growth. And certainly, the consumer patterns of the pandemia [indiscernible] have shift or accelerated that shift into online for many verticals; we expect that to accelerate the growth of the portion of online with the travel industry. Having said that, our view when the uncertainties of Covid t it will also take a couple of years at least, to recover to previous to pre-COVID levels, again, maybe accelerated by a faster shift to online. But that will not represent a significant difference from developed markets. That's our current view. Obviously, this will evolve, and we’ll monitor it very closely. But we don't see a significant change based on that pattern.  As per your second question in terms of margins and the cost reduction and the impact on margins, yes, I believe that you have seen, we have done superb job in reducing costs. And we believe that when volumes return, our cost base will remain the same in support factors. But obviously, in the technology team, the user experience team and more importantly, in the operations team we’ll need to grow at a fraction of the growth of the volume. We say therefore that margins will return to higher level and previously based on this new construct, this new cost base. So the new normal, we expect to be at higher margins than in the past.
Eric Sheridan: Thank you so much.
Operator: And our next question today comes from Brian Nowak with Morgan Stanley. Please go ahead.
Alex Wong: Good morning, this is Alex Wong on for Brian. Thanks for taking the questions. First one, just on the gross bookings trend, you referred to think the figures on slide four were helpful. Maybe you can help us understand a little bit what that translates to from a pre cancellation your view of your growth rate perspective in June and July, so we can get a sense for some underlying growth as we sort of evaluate the recovery. And within that, can you speak to any regions that are driving the recovery in any new types of consumer behavior, whether it's more domestic travel, more adoption of alternative accommodation that you're seeing? That's question one. The second question if you can just also talk about an update on the Best Day transaction. I think you mentioned in the slide, second half 20 closing is that slightly pushed out from the third quarter that you didn’t expect it, and if there's any update on sort of the financial profile, year-to-date for Best Day and potential synergies as well?
Alberto Lopez Gaffney: Sure, and with regard to gross bookings, okay. What we have seen in the quarters is just that that finished clearly when you have to look at reductions in gross bookings for the quarter you are let’s say in Q2 minus 95% for arguments sake in relatively last year. Clearly over there you do have an impact of currencies and certainly level of activity. When you look at number of transactions, okay, their reduction has been smaller than that, okay. In the minus 90, which have been minus 95 okay? So over there, you can actually see the impact of not only FX, okay, but at the same time on the changing mix of the trouble given that is today, what you seen is deminimus travel in Q2 you actually have many people returning going back to their to the country of origin, etcetera. So that was a bit of like reorganization of the industry, with legal activity actually going on. So I think those are the two, those are the two factors to point. With regards to new trends, consumer behavior, etcetera the way we are looking at this is, we're certainly looking at that the recovery we’ll first start looking at domestic travelling. Okay, the recovery will actually start with domestic travelling. And from that perspective, that coupled with your other question that is okay, which countries are pulling the current level of activity? The countries are actually helping the recovery as Damian was pointing before that actually from volumes, very, very low in April May, then the plateauing at that point, and actually now with a steady increase. Okay. What you see is that Mexico and Brazil, both countries certainly are setting apart, the level of activity vis-à-vis other regions in, other countries in Latin America. For argument's sake, countries such as Argentina and Colombia, you see almost no flight whatsoever given the current level of activity that is everything is very much locked down. And last, on your Best Day question. Okay, we continue, we are just awaiting for the results of the COFECE ruling on their antitrust, COFECE is the antitrust authority in Mexico. We also have filings in other geographies particularly in Ruwais [ph] as you might imagine the process in with the governmental agencies actually given the whole lockdown in the environment lockdown, you actually see on lower speed that is understandable, under the current circumstances. They all have a very strong perspective that in our level of participation in the market, and given how atomized the market is, okay doesn't represent any issues. And we actually look at our favourable outcome when the authorities actually finalize their analysis.
Alex Wong: Thanks so much.
Operator: Okay. [Operator Instructions] Today’s next question comes from Kevin Kopelman with Cowen & Company. Please go ahead.
Emily Levin: Hi, good morning. This is Emily Levin on for Kevin. Thanks for the question. I just wanted to follow up on your comment, your answer to the last question about the recovery starting with domestic travel. How would you plan to position yourself to capture that demand? And do you expect the domestic travel to increase in the summer season in the southern hemisphere? And as a follow up, what percentage of travel in Latin America is domestic versus international in a normalized environment? Thanks.
Damian Scokin: Hi, Emily this is Damian. Getting to your question, remember that [Indiscernible] telling 30% of our revenues, our bookings are coming out of domestic travel. We expect that to grow significantly and we are uniquely positioned in terms of inventory and relationship with airlines and hotels and other accommodations in our home region, if you want. You see even that today, when you look at the markets that are performing better like Mexico, and Brazil, we are seeing a strong concentration of domestic bookings vis-à-vis historic trends. Remember also that even last year, we launched a series of activities that we’re aim at capturing the opportunities of short term vacation what we call getaways an activities that will approve significantly relevant vis-à-vis how the market is going to evolve.
Emily Levin: Thank you.
Operator: [Operator Instructions] We'll pause momentarily to see if anyone joins the queue. And ladies and gentlemen, I'm showing no questions at this time. So I'd like to turn the conference back over to Damian Scokin for any final remarks.
Damian Scokin: Thank you. Thank you all for joining us today. We look forward to seeing you in our next call. And please stay safe, you and your families. Take care. Bye.
Operator: Thank you. Thank you, sir. This concludes today’s conference call. We thank you all for attending today’s presentation. You may now disconnect your lines and have a wonderful day.